Operator: Good morning. My name is Tanya and I will be your conference operator today. At this time, I would like to welcome everyone to the H&R Block Second Quarter Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session [Operator Instructions]. Thank you. I will now turn the call over to Mr. Colby Brown, Vice President, Finance and Investor Relations. Sir, you may begin.
Colby Brown: Thank you, Tanya. Good morning, everyone, and thank you for joining us to discuss our fiscal 2018 second quarter results. On the call today are Jeff Jones, our President and CEO and Tony Bowen, our CFO. We posted today’s press release on the Investor Relations website at hrblock.com. Additionally, a presentation for viewing is available via the webcast and will also be posted to the Investor Relations website after this call. Some of the figures that we’ll discuss today are presented on a non-GAAP basis. We’ve reconciled the comparable GAAP and non-GAAP figures in the schedules attached to our press release. Before we begin our prepared remarks, I will remind everyone that this call will include forward-looking statements as defined under the Securities Laws. Such statements are based on current information and management’s expectations as of this date and are not guarantees of future performance. Forward-looking statements involve certain risks, uncertainties and assumptions that are difficult to predict. As a result, our actual outcomes and results could differ materially. You can learn more about these risks in our Form 10-K for fiscal 2017 and our other SEC filings. H&R Block undertakes no obligation to publicly update these risk factors or forward-looking statements. At the conclusion of our prepared remarks, we will have a Q&A session. During Q&A, we ask that participants limit themselves to one question with a follow-up after which they may choose to jump back into the queue. With that, I’ll now turn the call over to Jeff.
Jeffrey Jones: Thanks, Colby. Good morning, everyone, and thank you all for joining us. I’m really delighted to be here with you all this morning. It’s been a busy first few months, and I’ve been immersing myself in the business, which has only reinforced my decision to join this great company. H&R Block is a trusted brand that at its core is about helping people. And while much of what I’ve learned will help inform our long-term strategy my number one priority is delivering a successful tax season 2018. We’re excited and we’re ready for the season to begin. Today, I’d like to provide some insight on what attracted me to H&R Block, my approach to the business and the planning process we are kicking off to take a fresh look at our long-term strategy. Given that our primary focus is delivering a strong tax season, I’ll spend the majority of my time discussing key elements of our seasonal plan. I’ll then provide our perspective on tax legislation and what it means for H&R Block. Tony will then walk you through our second quarter results, as well as our financial outlook for fiscal 2018. So let me begin by talking a little bit about what attracted me to H&R Block. As I mentioned, this is a trusted brand with even greater potential. H&R Block’s existence is based on something that truly matters, helping our clients during one of the most important financial transactions of the year. Our client relationships are grounded in expertise and emphasis something that’s rarely seen in other businesses. I’ve spent the past 60 days immersing myself in the business, including better understanding our capabilities. I’ve visited nearly a dozen offices in the U.S. and Canada. I’ve met with nearly 70 franchisees and I’ve hosted client focus groups in key cities. I spent time one-on-one with each Board member, and I’ve been working closely with the senior leadership team reviewing our operational plans for the upcoming season. Let me walk you through some of my initial observations. We have built a tremendous amount of trust with our clients. Based on a long history of doing everything we can to help our clients get the best outcome and knowing we stand behind them should questions arise. While we have this great base and trust with our clients, there is more we can do to be better at anticipating and exceeding our client needs. This client centric-approach is what I will bring to everything we do. And though we’re trusted, we aren’t as relevant as we need to be to today’s consumer. We aren’t viewed as a modern brand with the capabilities of delivering our products and services to clients in all the ways they want to be served. My initial observations are that we have opportunities to deliver this relevance by improving our tax preparation service delivery, modernizing our client acquisition methods and investing in our core capabilities. Relevance translates to client growth and retention, the keys to sustainable growth. Additionally, we have been extremely impatient, starting initiatives and then stopping them after one season. We can be even more client-centric in developing new products and programs and more patient and willing to iterate and improve on what we learned. These observations will help inform the development of our long-term strategy. Important to any strategy is knowing where we want to go and the Board and I are aligned that the key to our success is determining a path to sustainable growth. We’ve begun work on establishing a strategic framework that includes making ongoing improvements to the business by focusing on what matters most our relationship with our clients and taking a multi-year approach. We cannot continue to focus only on the upcoming tax season. Another way of thinking about this approach is that, we must exhibit both urgency and patience. Urgency in coming to the right strategy that best meets the needs of our clients and patience to execute consistently year-over-year to learn and to adjust. We have tried a lot of things in the past and there are opportunities to be better. We will take the lessons learned from our past strategies, but our approach will be different. We will be more focused than ever on our clients and understanding how they want to interact with us and ensuring, we’re well-positioned to innovate as the overall tax preparation market continues to evolve. There will obviously be more to come on this and we’ll be working over the next six to 12 months to develop the winning multi-year strategy and we’ll share more details at a later date. For now, I would like to talk about our top priority delivering accessible successful tax season 2018. Our primary objective this season remains unchanged to continue improving our client trajectory. To achieve this objective, we’re focused on three areas: operational excellence, new products and partnerships, and compelling marketing and promotions. The order of these three is very intentional, as operational excellence must be the foundation for everything we do, especially in how we deliver our tax products and services. We made great strides last year with significant client experience improvements. Our assistance to clients are now more engaged in the process and we’re demonstrating our expertise in more tangible ways. In our DIY offerings, we made it simpler to import your prior year return and current year tax forms through drag and drop and photo capture, and we have much more planned for the upcoming season. But it’s not just about making improvements. The key to our success will be exceeding our clients’ expectations and executing flawlessly. Next, we’re launching a number of new products in partnerships this season. For the in-office assisted experience, our clients and tax pros will benefit from our enhanced client experience, including the expertise of Watson. Watson’s augmented intelligence combined with our internal data analytics assist our tax pros in identifying every deduction and every credit available for our clients. Additionally, this year, we had a new enhancement called People Like Me for our client to itemize deductions or have business income on Schedule C. If a client is a pet groomer, a flight attendant, or police officer, or one of a 120 other professions, they will receive occupation specific advice during the tax preparation process. We believe this tailored advice, which complements our tax pros expertise will be incredibly valuable in these filings. These innovations in our assisted business continue to be backed by an industry-leading suite of value-added products, including Emerald Card, Tax Identity Shield and Peace of Mind. In DIY, we’ve made additional user experience enhancements, building upon the improvements made last year. The first significant change is in our importing capabilities. Last year, our product was able to import more forms than anyone else in the industry. This year, approximately 98% of our client source documents can be digitally imported via drag and drop or photo capture. This represent an increase of 28 points over last year. In mobile, we’re making improvement for the user experience to enable simpler engagement, enhance personalization and ultimately improve conversion. And finally, we’re providing proactive occupation-based help to ensure our client gets every deduction in credit available. In addition to all these enhancements, we have introduced a new online product for self-employed filers addressing the growing need of this segment. And I’m excited to announce that we’re partnering with Stride, an industry-leading provider of software and services for self-employed individuals. By bringing together the capabilities of our two brands, we will enable those who are self-employed easily track their expenses, import them into our digital tax products and file their taxes. There are two additional partnerships in the DIY space and I’d like to highlight Amazon and Walmart, as we’ve enhanced our relationship with both. At Amazon, we’ve secured better product placement and promotional offerings. Additionally, our full range of tax products and services will be promoted on Amazon, including our new product, H&R Block Tax Pro Go, which I’ll discuss in a moment. And we’re also thrilled to be the exclusive tax software brand sold by Walmart this year, further exposing our products and services to a broad group of consumers. These are two significant partnerships for us, as we’re bringing H&R Block to more consumers in the places they frequent most. While we’re pleased with the progress being made in both the assisted and DIY channels, we know that we’re changing consumer behaviors. We need to do more and serve our clients in all the ways they want. As tax preparation evolves, consumers are looking for new ways to get help. To that end, we’ve developed two new products that combined the empowerment of our digital offering with our industry-leading tax expertise. The first product is called Tax Pro Review, an improved version of an innovative product we have previously offered called Best of Both. Clients begin their tax return online. And if they want help, they’re seamlessly matched with one of our tax pros. When the return is complete, the tax pro will then start review, sign and e-file the return. This is a powerful way for our DIY clients to benefit from the Peace of Mind of knowing that one of our highly trained experts has identified all applicable credit to deduction and has also reviewed their return for accuracy. The second product is a unique and completely new way for clients to interact with our brands called H&R Block Tax Pro Go. This product addresses the needs of a large number of consumers who want assistance, but don’t want or has the time to visit one of our offices or to start their taxes themselves within DIY product. We know that while approximately 50% of taxpayers want assistance, not all when it go to an office to get help. H&R Block Tax Pro Go clients will know their price upfront, upload their documents through the secure MyBlock portal and we will work virtually with one of our tax pros to ensure they get every applicable credit and deduction. We’re bringing all the expertise and service our clients want directly to them. The innovative products have been designed to meet evolving consumer needs and begin to represent a range of ways consumers can count on H&R Block, whether they need a little help or complete in-person assistance continuing to position us as the expert in the tax industry. In addition to the exciting product lineup we’re offering this season, we will also offer compelling promotions to drive demand for the H&R Block brand. Let’s start with Refund Advance, our interest-free early season loan. We’re excited that it was added a $3,000 loan level in addition to the loan amount offered last season. We believe this will be one of the most competitive loan amounts offered, providing our clients early access to an even greater amount of their refund, in most cases on the same day in which they file their taxes. Also in assisted, we will again offer the three federal 1040EZ program. Having competitive free offer in the market is key to attracting new clients. Similarly in DIY, we’re bringing back H&R Block More Zero, which allows a significant portion of the tax filing population this file both our federal and state taxes for free. Those three federal 1040EZ and H&R Block More Zero are proven new client drivers that offer the opportunity for us to showcase the value of our products and services. All of these products, partnerships and promotions will be backed by a strong integrated marketing campaign. Last year’s introduction of the Get Your Taxes Won Campaign highlighted the power of pairing H&R Block tax pros with IBM Watson to achieve the optimal outcome for every client, as well as the innovative capabilities of our DIY offering. The campaign featuring Jon Hamm was highly motivated in consumers and we’ll continue with new creative executions into 2018. Before handling the call – handing the call over to Tony, I would like to talk for a few minutes about tax legislation, something that’s obviously been getting a lot of attention. It’s difficult to predict what the ultimate outcome will be, but something will likely be passed for the 2018 calendar year, impacting tax season 2019. However, some aspects could be made retroactive to 2017. Obviously, we’re monitoring these developments very closely. Changes to the tax code are nothing new. Since our founding in 1955, there have been 33 significant changes. Through all of these modifications, taxpayers continue to seek assistance. Taxes will likely change for millions of Americans, but the underlying value of helping people will not. In fact, for those taxpayers trying to understand what the new tax law means for them or in-person network of nearly 80,000 tax pros, we’ll continue to provide tremendous value. One of the key components of the proposed legislation is the increase in the standard deduction. This change does not impact the majority of the filers, as approximately 70% currently change the standard deduction, and that number is even higher for H&R Block clients. And while much attention has been given to the increase in the standard deduction, many taxpayers will still be required to file multiple forms and worksheets for various sources of income and credits that are not going away. For example, the proposed 14-line postcard tax return includes refundable credits, something we know taxpayers who want to help with to ensure they’re getting all the credits to which they’re entitled. Millions of filers claim credit such as the Child Tax Credit and EITC, all of which will require several pages of forms to determine eligibility and amount due. Additionally, the millions of Americans who own a small business or a self-employed will still be required to file additional forms to report their income. Many of these filers need assistance in determining, which expenses they can deduct to minimize their tax liability. And finally, all the changes we’ve discussed deployed as federal taxes and did not directly change the various state tax laws. Of course, to this point, I’ve always read individual tax list. The proposed lower corporate tax rate is enacted. We’ll have a positive impact on our cash flow and bottom line, given we’re primarily a domestic business with historical effective tax rate in the mid-30% range. So no matter what changes are ultimately made. I’m convinced the value of H&R Block remains our ability to help. It’s our job to adjust to the changing tax code and help our clients get all the credits and all the deductions they deserve, who know all the ways they want to interact with us. And that’s exactly what we’ll continue to do. In summary, we’re excited about the upcoming tax season. We believe we’ll continue to improve the client trajectory through operational excellence, new products and partnerships and compelling marketing and promotions. With that, I’ll hand the call over to Tony to discuss the second quarter financial results and our outlook for fiscal 2018.
Tony Bowen: Good morning, everyone. Thank you, Jeff. We’re excited to have you here. As a reminder, due to seasonality of our business, second quarter results are not representative of our full-year performance. To put it into perspective, second quarter results typically represent less than 5% of our annual revenues and approximately 15% of our annual expenses. That said, our results were in line with our expectations. With that as a backdrop, I would like to provide additional context on the quarter. Revenues increased $10 million, or 7% to $141 million, primarily due to increased international tax preparation fees, positive fluctuations in foreign exchange rates and favorable preseason results in the U.S. Turning to expenses. Total operating expenses increased $18 million, or 5% to $357 million, due to compensation and occupancy costs. Compensation and cost increased due to the variable labor related to revenue increases in the U.S. and Australia, as well as planned conversion of high cost contract labor to lower cost full-time associates. Additionally, a portion of the increase in both compensation and occupancy cost was driven by prior year acquisitions of franchisees and inflationary increases. It’s important to note that the percentage increase in total operating expenses is influenced by the relatively low base. As I shared, the second quarter typically represents approximately 15% of our annual expenses. I’ll provide thoughts on our fiscal year outlook later, but can say that this year, this quarter’s operating expense increase of 5% does not reflect our expectation for the full-year. Compared to the prior year, we saw interest expense decreased $1 million due to lower draws on our line of credit. The quarter’s effective income tax rate was relatively unchanged from the prior year, as higher discrete tax benefits were offset by a lower base rate, both of which are beneficial from a full-year perspective. Finally, loss per share increased $0.04 from $0.67 to $0.71 per share. Approximately, half of the increase was due to the reduction in share count, which will be accretive on a full-year basis, but negatively impact those quarters with a loss. Turning to discontinued operations, there were no material changes in estimated contingent losses related to Sand Canyon Corporation. For additional information, please refer to disclosures in the company’s reports on Forms 10-K and 10-Q and other SEC filings. As a reminder, Sand Canyon is and always has been operates a separate legal entity from H&R Block. We continue to believe our legal position is strong on any potential veil-piercing arguments. With that summary of the quarter, I’d now like to provide our outlook for the upcoming tax season and fiscal year. Starting with the tax industry after a unique tax season 2017, we anticipate industry volumes to return to more historical growth levels, with overall returns growing around 1% in tax season 2018. We anticipate industry-assisted volumes to be flat to slightly up, with most of the growth coming in DIY. Turning to our assisted business, after taking a significant step forward last year, we expect continued improvement in our client trajectory this tax season. This improvement will be driven by our free EZ promotion and our improved Refund Advance offerings, as well as our client experience enhancements. Regarding product, we expect to continue moderate inflationary price increases, understand that we cannot be too aggressive on price and expect to improve the client trajectory at the same time. In DIY, we expect client growth on the strength of our product improvements, our compelling offers in the marketplace and the enhanced partnerships that Jeff discussed. Our net average charge in DIY is expected to be consistent with fiscal 2017, which represented a reset for us, given the introduction of the H&R Block More Zero promotion. The net result of these changes is that, we expect overall revenue to increase modestly in fiscal 2018. Turning to EBITDA margin. Last year, we came in at the upper-end of our 27% to 30% range. Considering our revenue projection, continued productivity initiatives and the impact of inflationary cost and investments, we expect fiscal 2018 EBITDA to also be at the high-end of the 27% to 30% range. I’ll now provide thoughts on the other areas of the financial statements. As for capital expenditures, we expect to spend approximate 3% of revenues, or $95 million to $100 million in fiscal 2018. With respect to acquisitions, our franchise repurchase activity will continue to moderate, while our purchases of independent locations will likely be consistent with prior year levels. Both franchise repurchases and independent acquisitions are typically completed at levels below our current trading multiple and as such are accretive to earnings. We anticipate closing out the year having repurchased approximately 100 franchise locations and adding approximately 45 independent locations to our network for a total capital investment of approximately $40 million. Moving to deprecation and amortization, given the level of franchise repurchases and capital expenditures in prior years, D&A will be consistent with last year. We expect fiscal 2018 to be the high watermark for D&A at $180 million to $185 million. In general, approximately two-thirds of our D&A is CapEx-related, while the remaining one-third is related to acquisitions. As for the tax rate, we expect both our fiscal 2018, the effective tax rate and long-term base rate to be in the 33% to 35% range. Note that this range does not consider any implication to corporate tax legislation, which we would expect to be positive for the company. I’ll now take a moment to talk about some of the specific elements of our capital structure. With regard to liquidity, I’m pleased that we were able to extend the maturity date of our $2 billion line of credit, an additional year to September 2022. Specific to fiscal 2018, we expect total interest expense to be $85 million to $90 million. In regards to capital allocation, our priorities remain unchanged. At the top of the list is maintaining adequate liquidity for operational needs to account for our seasonal business. We then will make disciplined investments back into the business that we will – that we believe deliver value to our clients and drive sustainable growth. We didn’t pay dividends and have returned excess capital through share repurchases. These priorities are grounded in our intent to maintain investment grade credit rating metrics. As Jeff mentioned earlier, we have just begun the work on our long-term strategy and capital allocation will be an important consideration in this effort. Because of this, we have not made any share repurchases so far this fiscal year and do not expect any significant share repurchases for the remainder of the fiscal year. As a result, we expect average fully diluted shares of approximately 209 million to 211 million for the full fiscal year 2018. As a reminder, we repurchased $2.3 billion worth of shares, representing approximately 26% of our shares outstanding over the past two fiscal years. Additionally, we’ve increased the dividend consecutively the past two fiscal years, returning nearly $400 million. In closing, I want to emphasize that we have a strong history of returning capital to shareholders and continue to believe that dividend and share repurchases are key levers in our capital allocation strategy. We’re ready for the upcoming tax season and look forward to delivering strong results this fiscal year. With that, I’ll now turn the call back over to Jeff.
Jeffrey Jones: Thanks, Tony. I want to reiterate how excited I’m to be here and how ready we are for the tax season to begin. We have plans in place to deliver compelling value for our clients, and we’ll continue to be aggressive in the market through new partnerships and products and compelling promotions that resonate with consumers all backed by a strong integrated marketing campaigns. And we will deliver this to operational excellence as the foundation beneath it all. We look forward to sharing more when we report our third quarter results. And with that, we’ll open the line for questions. Tanya?
Operator: [Operator Instructions] So our first question comes from the line of Anjeneya Singh with Credit Suisse.
Anjeneya Singh: Hi. Good morning. Thanks for taking my questions, and welcome, Jeff, excited about having you at the helm at H&R Block. So a question on Tax Pro Go. I was interested to hear that offering. Is this more reactive on your end and driven by client feedback, or is this more proactive on your end as you’re targeting in unmet need? And if this were to gain scale, any thoughts on how you’re thinking about your store footprint going forward? Thanks.
Jeffrey Jones: Anj, great to meet you as well. So let me add a couple of comments and then I’ll let Tony give some more detail prior to my arrival. This was absolutely a product that was in development and I was thrilled to see within development, because it was completely based on consumer need. And I think as we have done more and more to understand discrete consumer segment, this is a really great opportunity for a consumer that really wants a lot of help but for some reason, they can’t or they don’t want to visit a national office. And so getting more and more clear on understanding that segment will happen over time as we launch and iterate on this product, but it was absolutely driven by consumer need in our segmentation.
Tony Bowen: Yes, just to add to that, Anj, we’re not looking at this is a way to reduce our store footprint, obviously, in the short-term, given this is just the initial launch of the product. We’re a long way from having that discussion. It will be delivered with the tax pros that sit in our retail locations and essentially utilizing excess capacity that we have across our nearly 80,000 tax professionals. But it’s still way too early to talk about any impact on our footprint.
Anjeneya Singh: Okay. Okay, got it. And as a second question, one for Tony, I realize you probably don’t want to get too granular on the margin guidance, but I want to take a crack at the question anyway. So it seems like, consensus is modeling your margins compressing 80 bps year-over-year. And I think, as a base case scenario, when you folks have talked about the $15 million of one-time benefits in 2017, it would imply a 50-ish basis point drag year-over-year. So as we look at your guidance, could you talk about, what are the productivity initiatives, if you can elaborate on those that give you confidence on comparable margins year-over-year?
Tony Bowen: Yes. So there’s obviously a lot that goes into it. We did have the $15 million benefit in 2017, Anj, you mentioned that won’t recur in 2018. We also have some normal inflationary increases that are going to roll in this year. We’ve got the additional locations that we’ve added due to franchise buybacks. I’m not going to comment specifically on some of the various productivity initiatives. To be honest, it’s – there’s no one thing that we’ve done. It’s just continuing to monitor our expenses closely to try to drive that. But also the margin is benefited by the fact that we expect to grow revenue, which I highlighted as well. We do expect modest revenue growth and that obviously provide some margin relief as well. So overall, we feel good about where it’s rolling up, and obviously expecting at the high-end of the range this year.
Anjeneya Singh: Okay. Thanks so much.
Tony Bowen: Thanks, Anj.
Operator: Your next question comes from the line of Kartik Mehta with Northcoast Research.
Kartik Mehta: Hey, good morning. Jeff, I wanted to ask you just about client count, you talked about modest core improvement. And does that imply that you can get to a flat number this year, or do you think it will be just improvement from last year and will take a little while to kind of get to flat and then grow?
Jeffrey Jones: Again, I will kind of tee up some comments on what I’m seeing and let Tony comment more if he wants to. But I think, our goal in the assisted business is continue to improve on the client trajectory and ultimately, we want to see that turn and grow, but not for this year. I think, the growth in clients we expect to continue to come from the DIY business. When I talked earlier about some of my observations, I think, when I talked about relevance and having a relevant value proposition that work as it relates to our long-term strategy the goal ultimately has to become sustainable growth and we will ultimately expect that to be in clients.
Tony Bowen: I don’t have a lot more to add. I do think, overall, clients, Kartik, should grow really driven by DIY, but we’re not commenting specifically on where we think assisted will land other than it’s going to be better than the trajectory and the performance we had last year.
Kartik Mehta: And then, Tony, on tax reform from a corporate standpoint, at least, on the proposals that are out there right now, what type of benefit do you – and still would you anticipate for Block?
Tony Bowen: Yes. So, as you know Kartik, we’re in the mid-30% range today, that includes both federal and state. So really on the federal side, the proposal is reducing it down to 20%. We’re still working through the exact impact. There’s obviously a lot of complexity. And reality is, it’s still being debated. It’s in conference right now between the Senate and the House. So, I’ve got the team hard at work, but we’re still cracking the numbers. And I think, regardless, it’s probably going to change before it comes to final law, if you will. So more to share at the appropriate time, but will definitely get a benefit, given our federal rate is closer to 30% than it is at 20%. But exactly, what the impact is, whether or not you’re going to be able to deduct state taxes against your federal, et cetera, there’s still a lot of open questions that are still to be determined.
Kartik Mehta: Thanks, Tony, I appreciate it.
Tony Bowen: Thanks, Kartik.
Operator: Your next question comes from the line of Thomas Allen with Morgan Stanley.
Thomas Allen: Hey, good morning, and welcome, Jeff. So first on assisted volumes. if you were to split off assisted volumes between client retention and new additions could you just remind us how last year went? How do you think this is going to go?
Jeffrey Jones: Thanks, Thomas. So we did get an increase in retention last year by about 2 points. We also were able to grow the new clients last year as well. This year, we think it’s going to be improvements, probably going to come more on the new client side. I mean, we would love to see an improvement in retention. Again, we got a pretty good increase last year. It’s not going as an expectation. We think it’s possible that it could go up, but it’s not a base expectation. So most of the improvement is going to come from continuing to bring in more new clients in 2018 versus what we had in 2017.
Thomas Allen: Helpful, thanks. And then just thinking about capital return, obviously, it’s not the most efficient thing to just have cash sit on your balance sheet and you should be generating a lot of cash this year. So like could we may be expect to catch up on the lack of buyback this year and next year, or I mean, how are you thinking about that?
Jeffrey Jones: Thomas, this is Jeff. Let me just tee it up real quick and I’ll let Tony jump in. Capital allocation is obviously very important part of our long-term strategy. And with the CEO transition in my arrival, we did not make any share repurchases during the quarter. And honestly, we felt that was prudent just considering we’re about to embark on a fresh long-term look at our strategy. But I like Tony to comment more and more just how we’re thinking about it.
Tony Bowen: Yes, I mean, Thomas, obviously, we still have the cash. We didn’t do anything else with it. So to your point, there obviously could be a catch up. But I think, to Jeff’s point, we really want to keep our options open. And until we know exactly where we’re going, what required investments we’re going to need to make back into the business we just felt that it was prudent to give us some x amount of flexibility, as we approach this new strategic work.
Thomas Allen: Great. Thank you.
Jeffrey Jones: Thanks, Thomas.
Operator: Your next question comes from the line of Jeff Silber with BMO Capital Markets.
Jeff Silber: Thank you so much. I wanted to talk about some of your marketing plans for this year. I’m just curious in the message that you’re going to be giving out. Are you going to be focusing more on the DIY product than you have in the past?
Jeffrey Jones: Good morning. It’s Jeff Jones. Yes, we will be more aggressively marketing DIY product this year than we have in the past.
Jeff Silber: Okay. Any color on that? I mean, I guess, part of the criticism in the past is that a lot of people were not even aware or maybe less aware of the fact that you had a DIY product. So any color on that would be great?
Jeffrey Jones: Yes, and I think you just hit on it. I have the same reaction, as I assessed my options to join the company. When I arrived, I was thrilled to see the team had their own understanding of that as well. And they were well underway of developing mass advertising to make sure people knew it not only we were in the business, but we have a really compelling product and we were proud for people to use it. So you will see us be more present and communicate more about our DIY products in general.
Jeff Silber: Okay, great. And then I have – I’m sorry.
Tony Bowen: But Jeff, the only thing I was going to add is, obviously, the Tax Pro Review, we view as DIY offering, where you’ve got obviously the option for help if you need it. So that would be a key part of our marketing plan this year, as well as it’s essentially relaunching that product.
Jeff Silber: Great. And that’s actually segmented to my follow-up. In terms of Tax Pro Review and a Tax Pro Go product, can you talk a little bit about the pricing strategy for both of those?
Jeffrey Jones: Sure. Given that they’re delivered virtually, it gives us a lot of flexibility to try various prices. But in general, the pricing will be specifically between DIY-assisted. But we will be testing various price points as we try to assess consumer demand on a go-forward basis.
Jeff Silber: Okay, great. Thanks so much.
Jeffrey Jones: Thanks, Jeff.
Operator: Your next question comes from the line of Scott Schneeberger with Oppenheimer.
Scott Schneeberger: Thanks. Good morning. Just following-up on the last side of a question. With regard to marketing, what do you view for year-over-year as far as spend? Is that something that’s going to be relatively flattish or might we see that go up on an absolute basis?
Jeffrey Jones: Good morning. It’s Jeff. We’re not going to comment on the exact levels of spending. But as I came in and assessed, both the level of investment and the way that investment was being directed, I feel very good about our plans since we’ve been.
Tony Bowen: Yes. And Scott, the one thing I would add obviously, the marketing investment has contemplated in the EBITDA margin outlook that I discussed it earlier.
Scott Schneeberger: Okay, thanks. And then on – with regard to some of the products, the – did I hear correct, Tony, the Refund Advance loan will go up to $3,000 this year. Could you elaborate on where you think the competition will be, and how you might market around that as a differentiator? Thank you.
Tony Bowen: Yes, we’ve seen a few different things in the marketplace, Scott. We’ve seen $2,000 loans, $1,500 loans. I think, there was one that was similar to our $3,000 loan tier, and we are adding an additional loans tier. So we’re be essentially 4 tiers, 500, 750, 1,250 and then 3,000. Obviously, we went out pretty big with the message last year. We expect to do that again this year. It was an effective campaign for us. We think, there’s still a lot of gas left in the tank. While we did – do a good job of getting the message out, I think, there’s still a lot of potential clients who don’t know about the offer. So this year having a larger loan amount continuing to pound the drum for a second-year in a row, tax professionals getting more comfortable, clients becoming less skeptical. I think, last year was a little bit of too good to be true. But the fact that we actually did what we said we were going to do and clients were walking out of the office with up to – last year up to $1,250 loaded on their card, in some cases before they got in their car was a really good client experience. So we’re pretty excited about the increase this year and definitely something we think is going to help us drive new clients into our offices.
Scott Schneeberger: Thanks. And just one more quick follow-up on something you said on the last question. The – for the new Tax Pro Review, in your press release, you had said between [59.99 and 89.99] [ph] and just how you respond to that prior question. Is that going to be fluid throughout the year? And might we see something outside of that range, or is it going to be in that range? Thank you.
Tony Bowen: Yes, I think, those prices are essentially viewed as almost I can attach to the DIY product. But I think, we will be testing various price points just to understand is there more demand at different levels within the DIY flow, but that is the base price that we’re going to market with.
Scott Schneeberger: Okay. Thanks very much.
Tony Bowen: Thanks, Scott.
Operator: Your next question comes from the line of Hamzah Mazari with Macquarie.
Mario Cortellacci: Hi, good morning. This is Mario Cortellacci filling in for Hamzah. Any updates on your thought process around monetizing your store base when you’re not in tax season? I know you had a Block Advisors initiative, so wanted to see if there are any updates there?
Jeffrey Jones: Good morning, Mario, it’s Jeff. So, I think, as we take a big step back and trying to figure out our ultimate path to sustainable growth. One of the things that I committed to do, which is a very objective, very methodical approach, taking nothing for granted and looking at any asset we have in the possibility of monetization. We’re obviously just getting started on that. And so, it’s too early to say now what those ideas may be. But I think, I owe to us to look at every possible option and that’s something that we’ll do.
Mario Cortellacci: Okay. And just a quick follow-up. Could you also give us a sense of how much room there is for you to buy more franchises in your system? And what are your returns looks like for those so far?
Jeffrey Jones: Yes. There’s definitely additional franchise repurchase opportunities. As I said in my opening comments, we expect the volume to continue to decline. We repurchased about three years ago over 300 offices and it’s been on a decline. We expect about 100 offices this year. So we’ll continue to do a level of them, but I would expect that number to continue to moderate a lot of what we repurchased our larger operators who have been in the system for 20, 30-plus years and we’re looking to essentially retire and exit. So that those who have already been repurchased it, but opportunities will continue to come up. But it’s not our goal to repurchase all franchise locations at this point, it’s more just on an opportunistic basis in areas that make sense for us to operate. As far as the return, we’re rough about in the specific ROI. But I will tell you that the level that we’re repurchasing these at are EBITDA multiples, that’s well below what we’re trading at as a public company. So it’s accretive to earning. It’s a positive return, and they’re fairly seamless to integrate, given they’re essentially operating like a normal company store.
Mario Cortellacci: Thank you so much, and good luck, Jeff.
Jeffrey Jones: Thanks, Mario.
Operator: Your next question comes from the line of Michael Millman with Millman Research Associates.
Michael Millman: Thank you. Could you talk about how your tax for go pro compares with TurboTax’s live, focusing to be sort of heading to sort of a collision? And secondly, on your RAs, do you expect that to continue to be offered with no additional cost to the taxpayer?
Jeffrey Jones: Yes. So the first one, Michael, so we view tax pro go is different than tax pro live as, at least, we understand it, I believe tax pro live is more of a DIY offer that then you can upgrade, if you need assistance, which is more comparable to our Tax Pro Review, which was previously Best of Both that we’ve had in the marketplace for a number of years. Tax pro go is what we view is more of a full-assisted experience. You upload the documents. You get a pricing upfront, tax pro in office has completed and then essentially you communicate virtually back and forth and approve and pay, et cetera. So it’s more of a full-assisted experience versus the DIY upgrade product, that it more Tax Pro Review we have that as well. When the refund advance, I actually didn’t catch the end of that question. Oh, sorry. Yes, no, there definitely is no cost to the taxpayer. We’ll continue to be a free product. Obviously, last year, we didn’t change the pricing on those clients either. So it’s really – we’re viewing it as a marketing tool to drive new clients into our offices.
Michael Millman: Thank you. Excellent.
Jeffrey Jones: Thanks, Michael.
Operator: There are no further questions at this time. Do you have any closing remarks?
Jeffrey Jones: Thanks, Tanya. Thanks again everyone for joining us, and this will conclude today’s call.